Operator: Good morning and welcome to TransUnion 2020 Third Quarter Earnings Conference Call. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Mr. Aaron Hoffman, Vice President, Investor Relations. Please go, ahead.
Aaron Hoffman: Good morning, everyone and thank you for joining us today. I hope that all of you are safe and healthy. On the call today, we have Chris Cartwright, President and Chief Executive Officer and Todd Cello, Executive Vice President and Chief Financial Officer. We’ve posted our earnings release and slides to accompany this call on the TransUnion Investor Relations website. Our earnings release and the accompanying slides include various schedules, which contain more detailed information about revenue, operating expenses and other items as well as certain non-GAAP disclosures and financial measures, along with their corresponding reconciliations with these non-GAAP financial measures to their most directly comparable GAAP measures. Today’s call will be recorded and a replay will be available on our website. We will also be making statements during this call that are forward-looking. These statements are based on current expectations and assumptions and are subject to risks and uncertainties. Actual results could differ materially from those described in the forward-looking statements because of factors discussed in today’s earnings release and the comments made during this conference call and in our most recent Form 10-K, Forms 10-Q and other reports and filings with the SEC. We do not undertake any duty to update any forward-looking statement. Now with that, let me turn the time over to Chris.
Chris Cartwright: Thanks, Aaron. I want to welcome all of you to our call and extend our most sincere hope that you and your loved ones are healthy and safe. At TransUnion, we continue to prioritize the health and safety of our associates, our customers, and the wider communities in which we operate. Globally, almost every one of our 8,000 employees continued to work from home. A select number of associates have continued to work on-site to ensure our technology infrastructure operates uninterrupted. I want to thank all of them for their dedication and commitment. Other than these critical employees, we see no need to rush back into our offices, as our associates have demonstrated the flexibility to work remotely and run our business with virtually no interruption. In fact, during the third quarter, we conducted a companywide survey of our associates and confirmed that they largely prefer to remain remote at this time and can work at very high levels, while doing so. Now on our last call, I talked about my personal commitment to making TransUnion a more diverse and inclusive company. I want to give you an update on our progress. First, we’ve appointed Teedra Bernard as our first ever Head of Talent and Diversity. In this role, Teedra’s responsibilities include talent acquisition, employment branding, on-boarding associate and manager training, leadership development, career development, employee engagement and employee relations. By lining all of these functions under Teedra’s leadership will ensure a diversity and inclusion lens is brought to all of our human capital management decisions. Secondly, we launched a taskforce, which we call Total Impact, which combines all our efforts to support racial equity and social justice and to connect these efforts through and for our associates, our culture and our operating model. This task force will amplify our consumer advocacy and outreach by offering tools and support, and at increasing access to economic opportunity. They will examine the role our data and products play in the financial ecosystem in order to promote greater financial inclusion. The task force has already made progress to ensure that customers use our data responsibly and in line with our mission to promote equal access to economic and other opportunities. And related to this work, we continue to engage with US regulators about how we can promote greater financial inclusion and participation. Finally, we remain committed to training our top leaders to increase their understanding and awareness of racial and equity. During the quarter, they participated in a session on getting comfortable talking about race and equity. We then asked all managers across the globe to attend a three-part series to learn more about race, bias and how they build more inclusive team. Nearly 2000 managers have participated in this important session. It’s important to note that these actions represent only a starting point and we remain committed to making meaningful long-term changes at TransUnion. And we have also given our associates November 3 off to help them exercise their right to vote. Regardless of party affiliation and political views, we encourage our associates to get out and vote. Now, I would like to layout the agenda for this morning’s call. First, I will provide you with the details about our performance in the third quarter and the trends and dynamics that underpinned our ability to achieve our upside case outlook. I’ll also discuss the current volume trends across our primary verticals and markets and how we continue to support our customers and consumers during this crisis. You will hear a consistent story of adapting our go-to-market approach, our product offerings and solutions to address the current market conditions. Then I’ll provide an update on the progress we will made with our global solutions, global operations and Project Rise. I will also discuss our recent media acquisitions and how together do they form the foundation of another attractive vertical. Finally, I will turn the time over to Todd to discuss our third quarter financial results in more detail. We have decided to reinstate formal guidance for the fourth quarter and the full year, albeit with a wider than normal range of expectations. And he will provide those details as well. Despite our restored comfort in providing guidance, I want to stress that we continue to monitor the state of the pandemic and the macro environment across the US and around the world in the markets in which we compete. We recognize that there is ongoing risk to the economic reopening based on the severity of the pandemic, and also the degree of stimulus being provided to consumers in each of those markets. So, shifting to financial services, let’s look at the key trends in that market. I want to start by reviewing the online transaction volumes for financial services in the US, which is our largest vertical market. Volumes improved during the quarter with ongoing strength in mortgage and auto, with improvement in consumer lending, but offset by a very challenging comparison in our card business. I’ll talk a little bit more about each of these in the next slide. Before I do, I want to emphasize that the impact of our sales effectiveness programs and innovation, using our US financial services vertical as an example, our new sales pipeline has improved this year by 8%, reflecting robust sales activity and an engaged customer base. Our win rate has increased by 5 percentage points, year-over-year and this has led to an impressive 43% gain in win dollars compared to the same period in 2019. Now taken together, this reflects greater sales efficiency, a focused strategy, a larger average win side and of course, strong execution across the board. We transitioned our teams to virtual selling supported by investments in a fellow training program, new collaboration technologies, an increase in improvement in our digital content and the deployment of internal experts to operate more effectively in the current environment. And throughout my remarks, you will hear about products across verticals in geographies that are meeting the needs of our customers in these current market conditions. Now let’s spend some time on the key lending markets that comprise the verticals. So to continue with FS, I want to start by talking with the health of the US consumer overall. Over the past six months, consumer balance sheets improved and that should support the long-term health of the economy and our business. In fact, since the onset of COVID, bank deposits reached record levels and the personal savings rate doubled. At the same time, delinquencies generally remained flat or even down for some lending products. A number of factors contributed to this. The significant government stimulus provided additional liquidity to consumers. At the same time, lender forbearance programs alleviated the needs for many consumers to pay their mortgages, allowing them to stay current on other debts to pay down existing debts or simply save more money. And finally, the mortgage refinancing boom allows consumers to save hundreds of dollars each month, which again they can save or use to stay current on their obligations. This demonstrates the importance of government support and the potential impact on consumers as of to-date. So with that as a backdrop, let’s turn to mortgage. Both refinancing and home purchase activity remain very strong throughout the third quarter on the strength of our historically low interest rates. The cyclical strength in mortgage certainly helped our result. But we remain cognizant that the cycle will run its course in 2021, and create some challenging comparisons. The current MBA outlook calls for mortgage volumes to decline 23% next year, while Fannie Mae’s forecast a 38% decline. In either case, we would expect the preponderance of the impact to occur later in the year. Now auto financing held up low in the quarter as low rates and attractive financing offers stimulated shopping activity in both the new and the used car markets. As our customers shifted to more digital acquisition channels, we won new business for our pre-qualification programs. Looking ahead, tight inventory levels of both new and used cars resulted in constrained industry volumes. Additional market growth will likely require increases in production as well as used vehicle supply from trade-in and auctions to meet the current heightened demand. And the credit card market improved slowly from the dramatic declines we saw between late March through July, notably insurance began to test marketing campaigns to determine how best to reach end market to consumers in the current environment. While marketing volumes remain down year-over-year, they have shown positive trends and we believe they will continue to improve. For our business, as noted on this chart, we are comparing against our participation in a highly successful launch of a new credit card in the third quarter of last year. Excluding that impact, our results would better reflect the underlying market. Finally, consumer lending continued to recover during the quarter as larger FinTech lenders slowly returned to customer acquisition fueled by fall-out levels of investor commitment to funding loans. In particular, we continue to see significant growth with point of sale lenders both from their own success as well as share gains. We expect this subset of the FinTech space to benefit from the very strong holiday season with a likely dramatic increase in online shopping. Across our end markets, we see two themes emerge with lenders. The first relates to their ability to adapt their models to understand the impact of the pandemic on consumers, leading to new sales of CreditVision Acute Relief attributes to help them better assess their current portfolios. And we are seeing meaningful traction in acquiring new users of both CreditVision and CreditVision Link as a means to improve their models for future customer acquisition. The second trend builds on the accelerated transition to digital commerce, resulting in a heightened interest in online fraud mitigation solutions like iovation and the spirit of very substantial conversations around digital marketing, the topic I am going to discuss a bit more later. Now on to our emerging verticals, across most of our emerging verticals, we saw trends improve during the third quarter. Beginning with healthcare, our business continues to face headwinds as the pandemic has an idiosyncratic effect on our healthcare system. Performance played out largely as we expected during the quarter. Front-end patient volumes recovered as provider saw increases that continue to improve the trend toward pre-COVID levels. However ongoing declines for inpatient care particularly for elected procedures as patients remain cautious about returning to healthcare facilities partially offset the improvement in outpatient volume. Similarly, emergency department visits remain depressed. The impact of reduced volumes negatively impacts the back end of the business, resulting in a reduced number of potential coverage discovery opportunities. This all factors against the backdrop of increased financial pressure on those healthcare systems as our business helps providers recover cash, we remain somewhat insulated from the full impact of weaker volumes in the healthcare system. And as we look forward, we see no structural change to this market, such that we will return to a more steady growth profile post-pandemic. Now shifting to insurance, this vertical returned to modest growth in the third quarter. As industry volumes stabilized, we continue to realize success with innovative products like our national driving record solution, which combines drivers risk as a pre-screen for the presence of a motor vehicle violation with our ability to resell state-issued motor vehicle reports. This creates efficiencies for auto insurers. We also continue to benefit from diversification into commercial auto, life and other aspects of property and casualty insurance. And our public sector market grew again as most government agencies continue to operate business as usual providing necessary support for their constituents. Additionally, we gained some business related to the COVID pandemic in fraud mitigation and identification for individuals requesting support from government. We also delivered growth in our screening business, which includes both tenant and employment screening. We saw solid performance in tenant screening as leasing companies remained active and our SmartMove screening product made additional inroads to the marketplace. Employment screening remains depressed as it mirrors employment trends. We offset some of the negative impacts with a successful campaign focused on small business acquisitions, which we provided our ShareAble for Hires tool free for an introductory period. We are now seeing payoff as many new users have converted to the paid product and the telco market continues to improve with the reopening of retail stores and its consumers resume more – a more normal purchasing cadence. Finally, while we believe collections is countercyclical and will be over time, we don’t expect to see any significant uptick until at least the beginning of 2021, as forbearance programs and state-imposed moratoriums on collections continue to delay activity. As I mentioned earlier, government subsidies delayed some collections activities as they enable consumers to pay off debts or stay current leading to lower delinquencies and default. Now, turning to Consumer Interactive, we delivered solid revenue growth in this segment, as consumers and customers continue to recognize the value of credit and identity protection, credit monitoring and related financial education tools like those that we offer both directly and indirectly, through our partners. In the quarter, we saw direct channel revenue accelerate behind continued successful marketing to consumers, focused on their credit health. On the other hand some of our indirect partners have curtailed their marketing programs, resulting in a decline in subscribers. This caused a slightly larger decline in this portion of our business compared to the second quarter and we expect that to persist in future quarters. At the same time, though, we continue to engage with potential indirect partners about new long-term opportunities. Now moving on to our International segment, let’s look at revenue trends, which illustrates the ongoing recovery across all reported regions and countries. Generally, successful re-openings have allowed economy to restart leading to increased overall economic activity. I would note that the degree of reopening varies greatly across our markets. For example, Brazil has never shutdown while the Philippines recently started to emerge from the second complete closure. India took a more phased approach – approach and the entire country only recently fully reopened. And in the UK, we see the potential for isolated closures as COVID cases have spiked in certain areas. And of course, we continue to monitor all these situations closely. Now, let’s spend a few minutes on each region where you’ll see a common theme of partnering with our customers to help them navigate the pandemic, optimize leveraging our innovation in CreditVision, CreditView, IDVision and other of our solutions. In the UK, thus far, government stimulus helped consumers manage through the crisis. However, the salary protection provided by the government will diminish from 80% coverage to about 57% coverage and only for areas with local lockdown at the end of October, shifting the burden to employers who may reduce their workforces. And during the fourth quarter, the payment holidays for mortgage and other loans will wind down. These actions may impact the already soft lending market. For our business, we continue to see an exaggerated weakness in the alternative lending market where we hold sizable market share. We also divested a small business earlier in the year, which negatively impacted our growth rate. Todd will provide more information about this later. Successful COVID mitigation business helped offset some of the weakness in the market. That included business with the UK government, the rollout of the TrueVision transitional risk index to help lenders identify consumers who pose a risk of default in the future as well as a number of wins for CreditView including with NatWest, one of the largest lenders in the UK. Our fraud mitigation business continues to deliver solid results and we’ve seen a recovery in our online gaming and gambling vertical as sports resumed around the world. Our Canadian business grew in the third quarter despite generally weak lending markets. At this time, various aspects of government stimulus are expected to continue. Our good performance reflects the meaningful portfolio of diversification that we’ve intentionally developed. We saw double digit growth in insurance and direct to consumer as well as a strong performance in the nascent FinTech markets. At the same time, we successfully introduced the credit version of CreditVision Acute Relief and a Vulnerability Index both to assist lenders in better understanding the state of their consumers. In India, the country slowly reopened and our volumes have mirrored that. We continue to benefit from our diverse product portfolio, as well as specific programs to address critical pandemic driven issues. For instance, we supported Indian government’s efforts to provide stimulus to small businesses by tightening the market and helping them identify who should receive the support. The Indian government also turned to us to help understand how individual lenders handled forbearance arrangements. We successfully launched a simplified version of our scores and algorithms using CreditVision for FinTech lenders, who in India tend to provide small ticket, very short duration loans. And we continued to deliver valuable insights to our customers. We recently began a weekly thought leadership session called TGIF or TransUnion’s Great Insights Friday, where we can bring our customers together virtually and help them work through the impacts of the pandemic. Now in Latin America, we served a variety of markets and most improved from the second quarter. Chile performed relatively well on the strength of its modern, highly digitized economy. Colombia also delivered and improved performance as our customers increased their digital products consumption to meet consumer needs during the shutdown. Other markets saw more modest improvement, reflecting the limited level of government stimulus in some markets. And in Hong Kong, the market has stabilized. Recently, we won new business for our fraud mitigation tools related to digital on-boarding. We saw improvement in our relaunch direct to consumer portal as well as some new opportunities for our CreditView platform. Rounding out APAC, the Philippines continue to face significant headwinds as the country just recently began to reopen from a second complete shutdown. We expect a slow recovery there. And the South African economy remains challenged with GDP expected to decline 9% and consumers and small businesses strained despite an influx of nearly $3 billion of government stimulus. We generated momentum in our business behind CreditVision tools for portfolio review as well as IDVision and seamless onboarding to support our customers’ transition to more digital consumption. Our business has maintained a sharp focus on serving our customers and delivering good results in the quarter, we also continued to invest for our future with differentiated programs and approaches to sustain our industry leadership. On our last earnings call, I detailed our global operations and global solutions organizations, as well as our investment in Project Rise. I will update each of those areas today and I will also highlight our investments to build out our media vertical. Now moving to global operations, this area allows us to expand our core capabilities through centralization, optimizing processes and automating them, leading to a better customer experience as well as cost savings that we will reinvest in new growth projects. I wanted to highlight our progress in this area over the past three months. First in global procurements, we have renegotiated a number of our largest supplier agreements to better focus our spend and leverage that to achieve more favorable terms. We have already realized some initial savings and cost avoidance and I expect that to increase over time. Our negotiations also included adding new features or services to facilitate growth across the enterprise. Second, we intend to replicate the success of our global capability center in Chennai, India, which was recently named one of the 50 Best Workplaces for Women in India by The Great Place to Work Institute. While we continue to add seats in Chennai, by the end of this year, we will open the second location in India in Pune. This location will focus primarily on Project Rise and other significant technology initiatives. Finally, we continue to make progress on reengineering the customer experience. We are implementing new tools that allow us to better understand our customers and to make TransUnion easier to do business with. We remain confident that global operations will deliver significant efficiency and cost benefits that we will both reinvest and return to shareholders, while also furthering our market leadership through improved customer engagement. Now, let me update you on the progress in Global Solutions, which allows us to strategically develop and diffuse innovative products across the more than 30 geographies in which we compete. In recent months, we made significant progress on two partnerships to develop a more comprehensive view of consumers that we can leverage to help our customers make smarter decisions about customer acquisition and risk management. First, we partnered with MX, let me say it again, it’s M like Mike and like Xerox to afford avoid any confusion with the large card issuer. We partnered with MX to incorporate consumer contributed data into our solutions. MX aggregates financial information through customer permission connectivity with banks and credit unions and FinTech innovators on more than 30 million consumers. Through this partnership in both the US and Canada, TransUnion will be able to, will enable consumers to enrich their credit profile, help lenders make better, more informed decisions. And ultimately, consumers will benefit from access to better products and services. For lenders, the near-term used cases, we will explore include income verification and the creation of new account derived attributes that will offer visibility into a consumer’s ability to pay. In the spirit of leveraging our global capabilities, the solutions team already began coordinating with our UK business where we provide the industry leading affordability suite of solutions and a best-in-class open-banking platform. Both of these capabilities lend themselves to the work with MX and our influence into consumer permission data. MX identified similar solutions in other international markets allowing us to coalesce around this opportunity on the global basis. And we have made a minor equity investment and formed a commercial partnership agreement with FinLocker, which allows consumers to collect and permission their financial information needed to secure a mortgage among other loan types. Consumers maintain control of their information throughout the process and can utilize educational resources to help prepare them for the mortgage application process as well as take advantage of personal lines financial health dashboard something that present homebuyers find appealing. Importantly, FinLocker utilizes banking industry multilayer security like data encryption and application protection to safeguard consumer information. FinLocker also helps lenders better service their existing customers by finding the right products to offer based on the individuals’ unique needs while supporting their financial journey to help drive a stronger relationship and reduce the lenders costs. Lenders can offer leverage FinLocker for lead nurturing and conversions or getting deeper insights into consumers’ actions and behaviors, making smarter risk decisions and then covering new opportunities to drive growth. Through this partnership, we will offer our marketing and portfolio review solutions to mortgage originators and servicers, providing them with an end-to-end offering. We will also have distribution rights with FinLocker and will explore expanding beyond the mortgage vertical. Now both of these partnerships provide valuable new avenues for growth and by far fully putting together these pieces, we positioned ourselves to begin to offer a broader view of consumers, helping our customers make better decisions through superior insights. At the same time, we can help consumers experience more seamless credit journey. We are still in the early stages of this strategy, but you can see a clear and attractive path in front of us as we fully anticipate that in the finding additional opportunities for these technologies and data in the future. Now to the media vertical, as we have explained in the past, our vertical strategy provides us with a valuable source of sustained differentiated growth. In recent years, we have built out our capabilities organically and through acquisitions to fuel public sector, telecommunications and our screening verticals for example. Over a longer term horizon, we did the same thing to build our nearly $200 million healthcare vertical and our similarly sized insurance vertical. Most recently, we have applied to playbook to build a media vertical focused primarily on digital marketing-related solutions. We recognize that we had foundational pieces necessary to compete successfully in audience segmentation and identity resolution, two growing categories within the larger digital marketing ecosystem. Most notably, we possess a larger array of data and world-class data linking and managing logic. As such, we identified the intersection of the media industry and digital marketing as a market for our expansion. We moved purposely to acquire the capabilities needed to offer a robust portfolio of solutions over these past 18 months that can enable people based and identity enabled marketing. The first acquisition, TruSignal brought a modern cloud-based platform that marketers and media companies use to build and distribute precisely defined audience segments. Users can access this platform directly or through an integrated API within other technology platform. The second acquisition Signal, which we completed earlier this summer added two key offerings. First, the broad product that allows to work with our clients to structure and activate their own Audience Intelligence. Second, it provided a platform for real-time data collection and distribution to connected and complementary advertising and marketing technologies. And earlier this month, we acquired Tru Optik to round out our market position. Tru Optik deepens our understanding of connecting consumers via what they call a household identity graph, essentially a virtual map of the streaming video and audio devices within the home. This understanding of the connected home adds yet another dimension to our ability to match an individual to a broad array of data as well as persistent digital identifiers. Tru Optik with our focus on understanding the connected home and providing solutions for Connected TV as well as streaming audio had gotten ahead of the curve, related to the adoption of streaming media services and the future of TV advertising investments. Marketers turn to Tru Optik to select the homes they want to target for either streaming video or streaming audio campaign. The streaming media providers leveraged Tru Optik to enable to precision targeting that marketers expect. Narrowing all of the capabilities from these three acquisitions gives us an industry leading position within the clearly defined part of the media market, and we believe we can now deliver meaningful sustained growth. Additionally, to fully leverage this opportunity, we will report the digitally focused marketing capabilities across the U.S. markets and vertical portfolio. In fact in just a few weeks since we announced the acquisition, we have already engaged with a number of large financial institutions about using Tru Optik and over time we will also identify how best to extend these capabilities outside of the U.S. And finally, I would like to provide an update on Project Rise. I will start with a broad point, namely that effectively all roads in TransUnion lead back to technology as a core enabler. A lot of the work that we are doing in operations relies on technology. In the fourth quarter, we will migrate our consumer call center to the cloud, resulting in a better consumer experience and greater efficiency. The partnership I described in solutions benefit from the modern technology stack in Data Architecture that we have nurtured over the past 5 years and future progress relies on the evolve technology foundation that Project Rise will deliver. In the media vertical and digital solutions build out depends on the cloud capabilities, we’re developing. Beyond that, we remain on track with our timeline, our anticipated investment and effectively time. In fact, in the fourth quarter our first proof of concept applications go live using the first set of Rise capabilities we developed as planned. We continue to see clear operational benefits in security, reliability, performance and efficiency as we progress through this transition to the cloud. As I wrap up my review of the business, I will reiterate the solid improvements we have seen in trends across our market aided by outstanding sales and product development efforts. And at the same time, we continue to aggressively invest to maintain our industry leadership and our attractive growth profile. And with that, I will pass it over to our CFO, Todd.
Todd Cello: Thanks, Chris. As Chris highlighted, we achieved our upside case scenario for the third quarter, as we benefited from gradual improvement across almost all of our markets as well as the strength and diversity of our portfolio. I will start with our consolidated results and for the sake of simplicity all of the comparisons I discuss today will be against the third quarter of 2019, unless noted otherwise. Starting with the income statement, third quarter consolidated revenue increased 1% on a reported basis and 2% in constant currency, the Signal acquisition, which we completed during the quarter, had an immaterial impact on the growth rate. Adjusted EBITDA decreased 4% on a reported basis and 3% in constant currency. Our adjusted EBITDA margin was 38.8%, down about 190 basis points compared with the year-ago quarter. Despite the decline, we still see this as a very good result given the significant challenges in the market. Third quarter adjusted diluted EPS increased 7%. We benefited from reduced interest expense related to our debt refinancings and lower LIBOR rates as well as a lower adjusted tax rate of 21.3%, which reflects our tax planning initiatives and a reduction in the Indian statutory rate. Now looking at the segment financial performance U.S. Markets revenue was up 4% compared to the year-ago quarter. Signal had an immaterial impact on the results. Our Financial Services vertical revenue grew 11%. As Chris discussed we saw improvement in all our lending end markets with considerable strength in mortgage and solid recovery in auto and consumer lending. Our card business faced challenging comps from our participation and a significant credit card launch in the year ago quarter. And to address the significant impact of mortgage in the quarter, excluding this cyclical growth, the vertical would have declined low-single digits, an acceleration in non-mortgage performance compared to the second quarter. I will reiterate my caution about the comparisons we may face in mortgage next year as they are likely to be a challenge. And it’s worth noting that our mortgage business carries a particularly high margin, which will exasperate the impact of the tough comparisons whenever they come. Emerging Verticals combined declined 3% on a reported basis and 4% organically. Growth in public sector, media, tenant and employment screening and insurance help moderate declines in the other verticals. Adjusted EBITDA for U.S. markets decreased 2% on both the reported and organic basis. Adjusted EBITDA margin declined about 260 basis points largely as a result of reserves for legal and regulatory matters that we took during the quarter. For my comments about International, all comparisons will be in constant currency. For the total segment, revenue fell 7% as we saw trends improve in all of our regions, and as Chris discussed in detail. As we mentioned on our February call, we divested a small business in the UK with Recipero. Excluding that divestiture International would have been about 1 point better and our UK business would have been 3 points better. Adjusted EBITDA for International declined 8% in constant currency. Consumer Interactive revenue increased 3% driven by growth in the direct channel. Adjusted EBITDA for Consumer Interactive was up 1% as we continue to increase marketing behind the direct channel during the quarter and see solid returns on that investment. As I had stressed over the past two quarters, we have a strong balance sheet and the ability to rapidly build cash. As a result of our attractive cash conversion and prudent steps to appropriately retain cash, we finished the quarter with $554 million of cash on the balance sheet and have not drawn down our $300 million revolving credit facility. The net of all of this, with that our leverage actually fell slightly from 3.0x at the end of the second quarter to 2.9x at the end of September. We will continue to take a prudent approach to cash retention but clearly have sufficient comfort that we were able to fund two acquisitions recently, and continue to be proactive in pursuit of additional attractive investment. As Chris previewed, we are reinstating formal guidance, replacing the scenario based outlooks that we provided for the past few quarters during what we hope will be the worst of the pandemic impact. As we have seen markets generally stabilize, we have sufficient visibility to take a more typical approach to guidance. However, recognizing the potential unknowns of the upcoming election and the recent increases in COVID-19 cases, we have provided a wider range between the low and high end of guidance for revenue, adjusted EBITDA and adjusted diluted EPS compared to what we have done previously. For the fourth quarter revenue, we expect about 1 point of M&A contribution from Signal and Tru Optik. There is also about 1 point of headwind to revenue and adjusted EBITDA from FX. Revenue should come in between $678 million and $698 million or a 1% decline to a 2% increase. Adjusted EBITDA is expected to be between $255 million and $271 million, a decrease of 2% to 7%. Adjusted diluted earnings per share are expected to be between $0.74 and $0.80, a decrease of 1% to an increase of 7%. And finally, for the full year, we expect an immaterial impact from M&A and 1 point of headwind to adjusted revenue and adjusted EBITDA from assets. Adjusted revenue is expected to be between $2.696 billion to $2.715 billion, up 1% to 2%. Adjusted EBITDA is expected to be between $1.031 billion and $1.047 billion, down 1% to 3%. Adjusted diluted earnings per share for the year are expected to be between $2.94 and $3.01, up 5% to 8%. I want to wrap up with some updated thoughts about some of our other annual guidance items. First, we expect our tax rate to be about 23%, which is slightly higher than the third quarter rate as a result of the timing of the impact of some of our tax planning initiatives. Second, total depreciation and amortization is expected to be about $365 million. Excluding the step up from our 2012 change in control and subsequent acquisitions, depreciation and amortization should be approximately $170 million. Third, net interest expense should be about $120 million, largely as a result of a lower forward LIBOR curve and a reduction in the margins on our term loans as a result of de-leveraging and the late 2019 refinancing we executed. Finally, capital expenditures will be around 7.5% of our revenue in 2020, which will be lower in absolute dollars than we had originally planned before. I will now turn the call back to Chris for some final comments.
Chris Cartwright: Thanks, Todd. And now to conclude, this morning you have heard how we continue to effectively manage the global stresses created by the COVID pandemic. At the same time, we continue to invest for the long-term strength of our business with meaningful progress in global operations and Project Rise. A very exciting set of strategic partnerships to enhance our data and capabilities around consumers crafted by our global solutions team and the well planned out build of our media vertical. While we maintain a clear plan for long-term growth, in the near-term, we will continue to prioritize the well-being of our associates, customers, consumers and our communities. And I will end by reiterating my hope that all of you and your families remain safe and healthy. And with that, I will turn the time back to Aaron.
Aaron Hoffman: That concludes our prepared remarks today. For the Q&A, we ask that you each ask only one question so that we can include more participants. And now let’s go to those questions.
Operator: [Operator Instructions] First question comes from Andrew Steinerman of JPMorgan. Please go ahead.
Andrew Steinerman: Revenue guide up or down 1% to up 2% year-over-year, obviously that’s very similar to the plus 1% organic performance that we just had in the third quarter and so my question is, how does that frame with the comments that we are seeing consumer credit recovering. When you look at your October trends, are you extrapolating conservatism from there? What frames that fourth quarter organic revenue guide range?
Chris Cartwright: Hey, Andrew. Well, good morning. This is Chris. And the first part of your question got cut off. So can I ask you to repeat it, and then I think Todd will best answer that one.
Andrew Steinerman: Okay, thanks. No problem. So I am thinking about the fourth quarter organic revenue guide to down 1% to up 2%, and that sounds very similar to me to the third quarter performance that you just guided, plus 1% organic revenue growth. And so my question is what’s being assumed in the fourth quarter guide in terms of the consumer credit activity, of course you highlighted that consumer credit activity on your slide is recovering. So why isn’t organic revenue growth, let’s say, better in the guide than it is in the third quarter performance.
Todd Cello: Okay. Good morning, Andrew, and thank you for the question. As Chris indicated, I will take that one. So why don’t I walk you through some details as to how we are looking at the anticipated performance of our three segments in the fourth quarter. So first starting with the U.S. markets, we are anticipating that U.S. markets will grow in a mid-single digit range. Mortgage will continue to be strong for us and as you alluded to recovery will continue in our other annual lending markets that we went through detail on of auto and consumer lending and card and banking. However, the one area to call out is within the emerging verticals. We do expect that our Healthcare business will be down as we have signaled throughout our earnings calls in Q2 and Q3, because of the impact of the – the front-end has on the back-end. And then just to elaborate on that for a minute, the front-end is where we are doing insurance eligibility checks and patient estimation at the onset of the pandemic, we saw significant declines in those volumes as either hospitals cut back and elective procedures or patients just didn’t simply want to be in the facility. So that has had – that has an impact on the insurance coverage discovery part of our business in the back-end. So everything that we have laid out before about the impacts is playing out pretty much as we have been talking about over the last several – over the last couple of quarters. If I move over to International, we are expecting International business to be down mid-single digits on a constant currency basis in the fourth quarter. We are anticipating that the recoveries will continue. But, as Chris said in his remarks, the recovery has been uneven across all of our geographies that we operate in. So that just continues to be an area of focus for us. And then finally our Consumer Interactive business, we are expecting it to grow low-single digits and we – on the direct channel side of that business, we continue to see strong interest in our credit products, pre-bureau monitoring. However as again we have talked about over the last couple of quarters, we do see on the impact of our indirect channel partners curtailing their marketing programs still having an impact in the fourth quarter. So if you take all that together, Andrew, I mean, that’s how we are getting to the guide that we put out for the fourth quarter.
Andrew Steinerman: Right. And can I just get a clarification, are you assuming in U.S. markets additional recovery from October or just kind of consistent with October levels?
Todd Cello: I think you are seeing – it depends on the market again though, Andrew, right, and that’s the context that we provided on the volume charts in the presentation. So I would say we continue to expect mortgage to be particularly strong into the fourth quarter. We expect to see a continued recovery in consumer lending. The one word of caution that I would give you in consumer lending and when you look at those charts and just those charts in general, you are just looking at our online transactions, you are not looking at the full picture of our revenue. So I think that’s just – probably looking on the call, context that, so there is a meaningful part of our business with this batch and that’s a good indicator of our consumers, our customers’ willingness to be more aggressive with marketing. So that we are starting to see our customers come back and be more aggressive, but not necessarily at the same level that we are seeing on the online volumes. So, and then kind of round that out, auto, we continue, we expect to kind of continue on the trend that it’s on as well as banking and credit card.
Andrew Steinerman: Perfect, thank you.
Operator: Thank you. Next question is from Manav Patnaik of Barclays. Please go ahead.
Manav Patnaik: Just to follow-up on your comments on the media additions there. Can you give us like an example, maybe real example of how your datasets combined with these acquisitions and the value there? I guess so I am trying to understand what the niche, is it more about just the ID side to say, business measurement or maybe it’s more, I was just hoping you could have clear data?
Aaron Hoffman: So, hey, Manav. Thanks for the question. You kind of broke up at the beginning, as well. I just want to make certain we got this right, your question about our media vertical and the acquisitions that we made.
Manav Patnaik: Yes, correct. I just wanted to get some kind of a real world example of how your capabilities in these acquisitions actually work. And what’s the real niche that you are going after?
Aaron Hoffman: Yes, Chris will take that one.
Chris Cartwright: Yes, great Manav. And operator, I am not sure if this is a technical issue, but the first two questioners, we missed the beginning of their questions. So we are going to struggle unless we can correct that. Okay. Yes, Manav, so we believe for some time that there is an opportunity for us to expand into data and consumer matching in activation services, and in the digital marketing market and we had obviously some intrinsic capabilities as a sophisticated data management company that also possesses a lot of valuable data for marketing enhancement and segmentation, and we have also got very rigorous matching logic as you would expect as a leading bureau. What we did not have necessarily were some of the complementary capabilities needed to commercialize that. So one of those capabilities came in the form of the acquisition of TruSignal where we gained an online platform and a direct to the end user interface that allows marketers to come in and use a user-friendly UI to explore all of our data and the incremental data that TruSignal possess and slice and dice and create very custom and precise audiences. That is a big part of what marketers do as they pursue ever more specific segmentation and individually pursue this segment of one approach. Then when we next acquired Signal, we got there was begin the beginnings of an identity graph, which is really a vehicle for organizing all of the various data elements including digital identifiers around our traditional consumer records, which are comprehensive and accurate. In addition, we gained connections to a variety of publishers in the digital marketing ecosystem where our clients on the marketing side after they created an audience in the appended digital identifiers to those audience to then connect to publishers in pursuit of targeting those specific consumers. And then the final piece in terms of M&A was with Tru Optik and Tru Optik is one of the early leaders in the over the top streaming media marketing services business. And what they have is relationships with various streaming providers where they can identify the digital identifiers, the URLs etcetera for the households that subscribe to various streaming services. Now what is interesting about this is that Terrestrial TV has obviously been in decline for many years, cable TV is stagnant, and many consumers are cutting the cord. But, as I am sure we all know from our own experience streaming services are growing rapidly. And so, there is an increasing audience there where streaming services are going into individual households. But there is not a lot of visibility as to who are the individuals in that household and how and what identifies them and how can they be segmented and then targeted. And so the combination of what Signal brings, which is knowledge of the various streaming services that are connected into a household and then combining it with the data that TransUnion has and our advanced matching capabilities allows us to deliver to marketers, the segmented audiences that they need to determine whether they want to deliver advertising content to particular households on what you think are streaming services. In addition to that, we got very sophisticated identity – identity graphing capabilities that were also going to be integrated. So at this point, we feel that the combination of these various acquisitions, plus the unique capabilities we had as a bureau in marketing data company traditionally plus some organic investment and ongoing integration efforts, gives us a very nice complement of services to grow our revenues in this audience creation and segmentation and targeting portion of the very large overall digital advertising ecosystem. I hope that helps.
Manav Patnaik: Yes. Thank you.
Operator: Next question is Jeff Meuler of Baird. Please go ahead.
Jeff Meuler: Yes. Thank you and good morning. Want to ask about the new sales metric that you gave us both given that it’s a new external metric and that 43% growth is a lot higher than I would have ever expected in this environment. So I guess two questions, first, can you just be more specific of what the metric is especially given that many of your revenue streams are transactional, so are they just an estimate or is this based on minimums? And then second, is there any rule of thumb or way that you can help us translate that into revenue. So picking something like if you would normally get, I am making up a number about 4 points of growth from new sales. If you have 40% plus growth that’s 5.6 or so points of revenue contribution, just anyway you can help us with what it is and how that translate us through to revenue? Thank you.
Chris Cartwright: Yes, so let me handle the first part of the question, but just as to the second part, Jeff, you sound like me as a business review looking for that rule of thumb translation. I think the first thing –
Jeff Meuler: I mean, I mean your company.
Chris Cartwright: Yes, exactly. The first thing I want to emphasize is that these are not GAAP accounting numbers. These are numbers based on our internal sales pipelines, which we manage with some rigor but they obviously don’t meet the standard direct revenue reporting in the financial results. But they are indicative of the success we are having in the marketplace both because we have adapted to what we are selling and the services that we are providing to consumers rather to our customers during the pandemic with improved sales practices that which come from a variety of effectiveness measures. And so as you can see in 2020, the year of the pandemic, our overall sales pipeline, as we measure it is up 8% and then our rate of bookings or sales closes has improved by 5%. However, the dollar value of all those bookings year-to-date has improved 43% and the way you bridge that math is simply our – the average deal size has increased by about a third, roughly. Right and again, I just think it speaks and the regional shared is it speaks to both the ongoing good health of the financial institutions that we serve and the broader market places that we serve and also that what we are offering is attractive and that we are delivering it successfully to the market. So that is what we will answer the first part of the question. As to the second one, frankly, I just don’t have a good rule of thumb, we are relying on the sales executives estimates of the deal size. Sometimes, that’s right. Sometimes, it’s not. There is also uncertainties around how long it can take to integrate your particular client for a variety of reasons, client motivation, IT backlogs, etcetera, etcetera. So take it as a number, a directional number of kind of the health of the business.
Jeff Meuler: Got it. Thank you Chris.
Operator: Thank you. The next question is Toni Kaplan, Morgan Stanley. Please go ahead.
Toni Kaplan: Thanks very much. Chris, you mentioned in your initial comments that you are working with regulators to try to help promote greater financial inclusion. And from my reading of guidance proposal to create a new government sponsored bureau, I guess the objective seems to be just that. And so, would you expect that if you and other bureaus are able to show progress on this front that perhaps maybe there wouldn’t be a need for the government to set up a new bureau, maybe you could just address that and any thoughts on the topic in general, just given the election coming up next week. Thanks.
Chris Cartwright: Yes, absolutely. Happy to discuss, and obviously this is a very important industry or other issue, not only for our industry, but for the American economy and consumers. And look, I think the bureaus collectively do a very good job of providing comprehensive and accurate and objective information to serve as a basis for extending credit. Now we are not the only information that is used and as you guys know, through recent years each of the bureaus has been extending the range of data available to identify consumers and evaluate their eligibility for loans. I think one thing that everybody can agree on is that increasing the visibility of all consumers so that they can participate in the lending market is a good day. That’s financial inclusion and I think both sides of the aisle are aligned around that. Often the debate comes down to a question of how do you achieve that end. Do you achieve it by the government providing the information and likely restricting certain negative aspects, like how long a delinquent credit remains on a credit report or do you provide even more information on the consumer, so that the consumer gets full credit for other financial behaviors that demonstrate the wherewithal to manage credit. We believe in the latter. I mean, we think that, and we know that when we move to trended data we were certainly able to score a tens of millions more consumers when we began adding alternative data like utility payments and negative activity on checking account and a whole variety of things that we have discussed previously. Again we could score millions of more Americans and score them accurately. What we would advocate for is that, the government assist in broadening our access to data types like telecommunications payments, utilities, consistent rent payments, etcetera, etcetera and then we round out individual consumers financial profiles and help lenders evaluate them and extend credit and price credit accurately for a much larger swap of the population. So if the Democratic candidate, Biden does win the presidency and there is I imagine what we find is a period of intensive dialogue where we are really trying to identify, what is the problem we’re trying to solve. What’s the best way to solve it and I think the bureaus have an important role in whatever solutions are proposed.
Toni Kaplan: Thank you.
Operator: Thank you. The next question, Gary Bisbee of Bank of America. Please go ahead.
Gary Bisbee: Hi guys, good morning. Just one quick follow-up on another one. And then a question on, just on, Manav, can you say who the customers are, who is buying this [indiscernible] marketing agencies – they are doing the marketing. And then the question I would like to ask is really on the cost front in the margin, wondered if you could just say is it right to think that the majority of the Project Rise and the other investments you are , whether that’s product development and others are falling within U.S. markets because it’s interesting to see costs there in dollar terms reaccelerate the pace of growth, reaccelerate quite a bit this quarter or significantly margin down more than International where you are still seeing cost decline point of it. Just any color on how we should think about levels of investment within this segment? Thank you.
Chris Cartwright: Okay. I will handle the first question and I will pass it to Todd for the second question. But in terms of the digital marketing services that we are providing, it could either be a marketing agency or marketing advisor or an intermediary that was assisting a Corporation in client acquisition through advertising efforts or it could be the corporation directly. We have that, right. But what we are able to do now is help marketers broadly understand who they are targeting and ensure that that is indeed the audience they want to target and then we are able to array digital identifiers around those individuals and then help publishers and help activate those marketing campaigns through publishers.
Todd Cello: Okay. Thanks, Chris, and good morning, Gary. Thanks for the question. So specifically on the margin, just kind of starting high level margin came in at 38.8% as I said the onset of the call, close to 39% what we would consider to be a very strong quarter, especially when we were tromping against what was probably the highest adjusted EBITDA margin, in the company’s – in the company’s history. When you drill down into the margins that we are seeing at the segment level, in particular in the U.S. markets, we still came in with what we would consider to be a very strong 40.4% adjusted EBITDA margin and to your point, we have continued to invest in particularly in areas such as solutions operations as we, as Chris highlighted earlier in the call, but also in technology with Project Rise. The only caveat with that is with Project Rise do handle that as an add-back for our non-GAAP metrics, so you are really not seeing that impact when we look at the margins this way. The other thing I would highlight, I mean I mentioned this in my remarks. Within the U.S. – within the U.S. markets, we accrued for some legal and regulatory matters for losses that we considered were probable and our best estimate for obvious reasons I can’t get into much detail – more detail on that, but consider that to be a kind of a one timer within the U.S. markets number on this [indiscernible] I mean I think what you see, if you kind of look at the other segments, you will see International’s margins coming in at 39.2%, which was down by 80 basis points. I think you are seeing as the business comes back on kind of two things, the resiliency of the business itself and the flow through of the profit. If you are also seeing those investments, I mean solutions and operations in that business as well too.
Operator: Thank you. The next question is from Andrew Jeffrey with Truist Securities. Please go ahead.
Andrew Jeffrey: Thank you. Good morning, appreciate you taking the question. I guess just a couple of questions around the U.S. business, particularly the FI business. Chris, you called out strength in consumer, which is largely FinTech. I wonder if you could drill down a little bit into your point of sale lending commentary and whether that includes buy now pay later if that’s a driver and just juxtapose that with some of the weakness in the indirect consumer segment, which I assume is in some cases similar customers. So if you could just kind of parse out that relationship a little bit too will be helpful?
Chris Cartwright: Okay. Look, I think you have identified an interesting mix issue that you see in the consumer sub-segment of our financial results. I mean, first thing I would say about the FinTech and in the consumer – online consumer lenders in general is that stability has returned to that space and we are seeing improved dollar volume as well as – a strong return in online volume, although the mix is really different. And I know you follow this, Andrew, that there’s consistent funding flowing into the FinTech lenders and they are beginning to deploy it through more aggressive, albeit still depressed levels of direct marketing relative to pre-COVID, right. But we have got a large swath of this market, as you know and we have particularly large chunk of the point of sale lenders, right. And those lenders are doing exceptionally well in this environment because e-commerce purchases have increased a lot. And that’s why you see from the charts that are online transaction volume in the consumer segment has increased pretty much back to pre COVID. Now, as Todd pointed out earlier, online transactions are a good portion of our revenues in this space, but they don’t account for all of them right, there is still a batch analytics, portfolio management, marketing pre-screen etcetera. But the point-of-sale lenders don’t rely on us to pre-screen and acquire customers and they write on the marketing of their channel partners, right. And so while that segment is booming and thus driving the high origination volumes, you see it’s not leading to the batch marketing work that we were enjoying before COVID when the mix was different. In the next year comment a sub-segment within a point of sale lenders, I really I just don’t have visibility at that level. So I will leave it to Aaron and perhaps you guys can follow-up after the call.
Andrew Jeffrey: Alright. Thank you.
Operator: Thank you. The next question George Mihalos with Cowen. Please go ahead.
George Mihalos: Hey, good morning, guys, and thanks for taking my question. I guess I just wanted to follow up on the question Andrew asked and maybe ask it a little bit differently. You’re talking in the U.S. about momentum on the online side with consumer lending and FinTechs and again you particularly called out the point of sale finance guys, I think you also made a point Chris though, when you were talking about the UK, which is a big, a big FinTech market, a big neo bank market, and so that in that area alternative lending is under some pressure. I was hoping maybe you can kind of juxtapose the two kind of why you think you are seeing sort of strength in the U.S. versus UK, is it more nascency of the U.S. more mix of the U.S. Just any sort of color you might be able to provide there?
Chris Cartwright: Yes, I think what’s happening in the UK is that their regulators have been examining lending practices across the space and in particular the online lending segment where the players in question, it’s a combination of both online lenders, but also we call alternative lenders that are originating unsecured in very short-term loans and the regulators have concluded that some of these players, their practices, be it interest rates or a variety of practices, they actually don’t like right. And so they put pressure on those lenders. That pressure has led to a flood of complaints and recovery efforts by consumer advocacy firms in the UK that has pressured a variety of these players to lead the market and that’s really because of the cost of managing the complaints that they are receiving or the recovery request. You are not seeing that in the U.S. and I think it’s a function of different lending practices and perhaps just a function of the stages of evolution of the two different marketplaces. But I think that’s why we are seeing a net decrease in the lenders in the UK – in the UK markets or there is not that dynamic going on in the U.S. markets.
George Mihalos: Great, thank you. Very helpful.
Operator: Thank you. Next question Shlomo Rosenbaum of Stifel. Please go ahead.
Shlomo Rosenbaum: Hi, thank you. Hey, Chris, just a quick question on the commentary that the deals in the deal pipeline go up a lot, which area is driving them up so much, why are they going up so much, what’s going on? Is there some kind of mixing going on right now or what do you attribute that to?
Chris Cartwright: Okay. Yes, you’re talking about our sales pipeline, right.
Shlomo Rosenbaum: Yes.
Chris Cartwright: I talked about earlier in the metrics and why the sales did larger. Well, look, I would like to think it’s because but I can’t exactly speak for what’s happening in the market across our customer base. I do know that clients are upgrading their credit origination and their portfolio management, data models and practices to use the latest and greatest data and attributes that are available from TransUnion and those tend to be fairly chunky sales. So we are seeing CreditVision, CreditVision Link and of course the COVID-19 attributes driving a lot of that sales success. And then as we have spoken in previous quarters, with the surge of activity online, fraud mitigation, leveraging services like iovation in our overall fraud suite, which we call IDVision, that’s been an attractive area for customers as well. So I think those are the two principle components that are driving the surge in sales in bookings revenue, and the increase in average deal size.
Shlomo Rosenbaum: Okay. Do you think that that’s unique for where we are right now like within the cycle in the downturn, or is that just something that you think is like the trend that you envision going forward?
Chris Cartwright: Yes, I don’t by any stretch believe that the demand for the two sets of products, credit and fraud mitigation is played out by any way. I think it’s probably accelerating on the credit side and really just begin to, well, I can’t say beginning but it’s accelerating on the fraud side too. Whenever the bureaus materially innovate on the data analytics side in a way that can really help lenders better understand their risk around origination and portfolio management, it’s going to lead to increased sales and an upgrade cycle, if you will. And I think that material segments of the marketplace, as consumers have lost employment or entering into forbearance relationships are experiencing distress and lenders need to understand that and in order to understand it, they need to subscribe to our more advanced datasets and I think that’s what’s happening and I think you will see that upgrades continuing in the intermediate term.
Shlomo Rosenbaum: Okay, thank you so much.
Aaron Hoffman: Great. And that brings us to the end of the call. I know it’s an extremely busy day with a spate of earnings throughout the space. So we want to be respectful of your time and I give you guys the opportunity to deal with all of those. So thank you everyone for joining us on the call today and we look forward to talking to you down the road, and we hope you are all safe and well. Have a great day.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.